Operator: Good morning. My name is Paula, and I will be your conference operator today. At this time, I would like to welcome everyone to the Pangaea Logistics Solutions Third Quarter 2016 Earnings Conference Call. Our host for today’s call are Mr. Ed Coll, Chairman and Chief Executive Officer; Mr. Anthony Laura, Chief Financial Officer; and Mr. Josh Clarkson of Prosek Partners. Today’s call is being recorded and will be available for replay beginning at 11:00 A.M. Eastern Time. The recording can be accessed by dialing 800-585-8367, domestic or 404-537-3406, international and referencing ID number 15286049. All lines are currently muted and after the prepared remarks there will be a live question-and-answer session. [Operator Instructions] It is now my pleasure to turn the floor over to Mr. Josh Clarkson.
Josh Clarkson: Thanks very much Paula and thank you all for joining us for this morning’s third quarter 2016 earnings conference call for Pangaea Logistics Solutions. With us today from the company are Chairman and CEO, Mr. Ed Coll and Chief Financial Officer, Mr. Tony Laura. Before I turn the call over to Ed, I’d like to read the Safe Harbor statement. This conference call could contain forward-looking statements within the meanings of the Private Securities Litigation Reform Act of 1995 about Pangaea Logistics Solutions. Forward-looking statements are statements that are not historical facts; such forward-looking statements are based upon current beliefs and expectations of Pangaea Logistics Solutions management and are subject to risks and uncertainties, which could cause actual results to differ from the forward-looking statements. Such risks are more fully discussed in Pangaea Logistics Solutions filings with the Securities and Exchange Commission. The information set forth herein should be understood in light of such risks. Pangaea Logistics Solutions does not assume any obligations to update the information contained in this conference call. Also, please recall that this quarter a supplemental slide presentation will accompany this call, those slides can be found attached to the 8-K that was filed with last evening’s release, which is available on the investors section of www.pangaeals.com under company filings or on the SEC’s website at sec.gov. Now, I would like to turn the call over to Pangaea Logistics Solutions’ Chairman and CEO, Mr. Ed Coll. Ed?
Ed Coll: Thanks Josh, and good morning to all of you and thank you for joining us on the call. Today, I’ll provide an update on our operations and market outlook before turning the call over to Tony, our CFO to provide a more detailed overview of our third quarter financials. We will then open the line for questions. We hope you had time to review our press release and accompanying presentation, which were issued last evening. Starting with Slide 3 and 4 of the presentation, we reported a strong quarter with net income of $6 million or $0.17 per common share, compared to a net income of $3 million or $0.08 per common share in the third quarter of 2015. Income from operations was $7.8 million, reflecting lower voyage charter hire and vessel operating expenses as compared to the same period 2015. Despite the currently challenging environment, revenue held steady at $70.7 million, compared to $71.1 million during the third quarter of 2015. Through September 30, 2016 we have generated $18.3 million in cash flow from operations, compared to $17.3 million on September 30, 2015, and we ended the quarter with $28.2 million in cash and cash equivalents. We attribute our strong results to our chartering strategy and proactive approach in a market environment that has caused others to remain stagnant. I’ll now address some of the company’s specific performance drivers. Our ice-class operations, which as many of you know are carried out by our Nordic subsidiary were a key driver for the quarter and is already on pace to finish the year higher than 2015. Specifically, during the quarter, we generated a premium of 133% over the comparable Baltic index. We remain very optimistic about the impact of this venture, which is unique to the industry. We will have our long-term performance. During the quarter, our new Charleston contract began performing, completing its first voyage. While the impact of this contract won't be realized immediately, we are optimistic about its future contributions. We have also secured financing through a sale lease back from one of our newbuildings that will be delivered in January from a leading global financial institution at attractive rates and terms. In prior quarters, we’ve also discussed the decrease in the rate of a specific COA related to Noranda's bankruptcy and the negative impact this has had on our revenue. While this has led to decreased revenues from the trade on a year-on-year basis demand is now emerging from that process and we view our amended COA as the best possible outcome from this difficult situation, and look forward to participating in Noranda's future upside, thanks to the freight escalation clause included in that COA. Turning now to our market outlook, we are still in the historically challenging environment despite some recent upticks and rates. Demand for drybulk tonnage remains weak. There is still an oversupply of drybulk carriers and rates remain low. However, this difficult rate environment is where our unique asset right business model, which focuses on nimbly and profitability serving our book of business shines brightest. Reduced rates mean lower frontal margins and given our strategy to chartered-in vessels to serve only contracted business, we deem it’s best to limit our carried volume of chartered-in vessels. This protects us from losses that may have been occurred a long-term charter strategy. And while we are not immune to the rate environment and market disruptions, our asset right model does meaningfully insulate us from headwinds when compared to the traditional asset owned business model employed by many other companies. Shifting gears, I’d like to recognize our uniquely qualified and experienced employees who have been in unmatched level of skill creativity and integrity to solving our client’s most pressing logistical challenges and without whom none of our success would be possible. Looking forward, and after attending few industry conferences recently, we have heard that our industry has to wait for recovery. That we should wait for world trade growth to resume for the order book to run its course or until ship owners and potential ship owners get the message that ordering new ships should not pick up again, and scrapping has to significantly increase, but we're not waiting. While it’s difficult to stay, if the recent rise in freight rates are sustainable or an indication of future increases, we’re searching for and booking cargo with our customers who understand we are both different and integrated into their business strategy. We help them reach new customers and different markets. If ship-owners wish to wait, we can use their ships in the meantime, if they will give it to us at rates cheaper than we can buy and out-better ourselves. We have no big egos in this regard. Pangaea has demonstrated we can make money in difficult markets. We look forward to continuing to deliver value to our shareholders to this approach. Thank you for your time and attention. I’d now like to turn the call over to Tony Laura, our CFO to provide additional details on the financials. Tony?
Anthony Laura: Thank you, Ed. Turning now to our financials for the third quarter, which begin on Slide 7 of the presentation. As you can see, total revenue for the quarter was $70.7 million, compared to $71.1 million for the same period in 2015. The total number of shipping days increased 15% to 3,971 in the three months ended September 30, 2016, compared to the 3,443 for the same period in 2015. The average TCE rate was $10,480 per day for the three months ended September 30, 2016, compared to $11,849 per day for the same period in 2016. As Ed mentioned, this decline was driven by both market conditions and other renegotiated COA with Noranda. Further breakdown of our revenue shows that voyage revenue, which is derived from our COA and other cargo business increased by 2% to $66 million, compared to $64.6 million for the same period in 2015. Meanwhile, charter revenue, which is tied to market rates decreased to $4.8 million from $6.6 million or 27% for the three months ended September 30, 2016, compared to the third quarter of 2015. The decrease in charter revenues was due to the continued weak market as charter hire days was 607 in the third quarter of 2016 versus 619 in the third quarter of 2015. Turning to expenses, voyage expenses for the quarter were $29.2 million, compared to $30.4 million for the comparable period in 2015, a decrease of approximately 4%. Charter hire expenses for the quarter were $19.7 million, compared to $20.6 million for the same period in 2015. Adjusted EBITDA for the quarter was $11.3 million, compared to $8.1 million in the third quarter of 2015. The increase was primarily attributable to lower cost of bunkers consumed, lower charter hire expense, and a reduction in vessel operating expenses. Net income attributable to Pangaea logistics solutions for the third quarter of 2016 was $6 million, compared to $3 million in the third quarter of 2015. In addition to changes to revenue and expenses as discussed, the increase in net income was primarily driven by improved performance from our Nordic fleet. Moving onto the balance sheet and cash flows, which you will find on Slide 8, cash and cash equivalents were $28.2 million as of September 30, 2016, compared with $34.2 million on September 30, 2015. Bank debt declined to $130 million as of September 30, 2016, compared to $149 million as of December 31, 2015. We have worked with our existing lenders to amend certain debt facilities and we continue expanding our banking relationships in order to maximize our financial flexibility as we grow. For the nine months ended September 30, 2016, the company's net cash provided by operating activities was $18.3 million compared to $17.3 million at the end of the third quarter of 2015. For the nine months ended September 30, 2016 and 2015 net cash used in investing activities was $7 million and $40.3 million, respectively. As of September 30, 2016, net cash used in financing activities totaled $20.5 million, compared to $27.3 million provided by financing activities for the nine months ended September 30, 2015. I will now turn the call back over to Ed for any additional remarks before we get to the Q&A portion of the call. Ed?
Ed Coll: Thank you, Tony. Looking ahead to 2017, we will remain focused on our strategy of operating with best in class efficiency, mitigating the risks of a low rate environment, controlling costs, selectively expanding, and adding to our COAs, strategically servicing our specialized markets, and most importantly maximizing utilization to backhaul. As you can see in our third quarter results, steadfast adherence to these simple principles should enable future sustainable growth for our company and by extension for shareholder value. With that, we’ll open up the call to your questions.
Operator:
Ed Coll: Well thank you all for taking the time to join us this morning and have a good day.
Operator: Thank you for your participation in today's conference. This does conclude today's call. You may now disconnect.